IntercontinentalExchange, Inc. (ICE):
Executives: Kelly Loeffler – VP, IR and Corporate Communications Scott Hill – SVP and CFO Jeffrey Sprecher – Chairman and CEO
Analysts: Roger Freeman – Barclays Capital Ken Worthington – JP Morgan Mike Vinciquerra – BMO Capital Markets Celeste Brown – Morgan Stanley Michael Carrier – Deutsche Bank Jonathan Casteleyn – Susquehanna Rich Repetto – Sandler O'Neill Daniel Harris – Goldman Sachs Rob Rutschow – CLSA
Operator:
 :
Kelly Loeffler: Good morning. To obtain a copy of the company’s fourth quarter earnings release and presentation please visit the investors’ section of our website at theice.com. These items will be archived and our call will be available for replay. Before we begin, please be aware that our comments may contain forward looking statements that represent our current judgment and are subject to various risk, assumptions, and uncertainties, as outlined in the company’s filings with the SEC; including our Form 10-K, which was published this morning. For a description of the risks that could cause our results to differ materially from those that are described in the forward looking statements, please refer to these filings. Actual results may differ materially from those that are expressed or anticipated in any forward looking statements. We may discuss adjusted net income attributable to ICE, adjusted operating income, adjusted operating expenses, adjusted margins and adjusted earnings per share, as well as adjusted EBITDA. These are non-GAAP financial measures that exclude non-operating charges that we believe are not reflective of our normal operating performance. A reconciliation of these non-GAAP financial measures to the equivalent GAAP results and an explanation of why we deem these non-GAAP measures meaningful appear in our earnings press release and earnings presentation. With us today are Jeff Sprecher, Chairman and CEO; Scott Hill, Chief Financial Officer, and Chuck Vice, President and Chief Operating Officer. At the conclusion of the prepared remarks we'll take your questions. I'll now turn the call over to Scott.
Scott Hill: Good morning, and thank you all for joining us. I am pleased to report that ICE once again achieved record quarterly results during the fourth quarter, and for the full year 2009 we delivered exceptional results by virtually any metric. ICE delivered double-digit revenue growth resulting in our sixth consecutive year of record revenue. This was coupled with record operating income, record net income and record cash flow. Not only did we turn in strong growth in our core business, we also executed on the ambitious -- strategic and financial objectives that we committed to at the start of 2009. These included the successful launch of the leading CDS clearing houses in Europe and the US, the introduction of over 200 in OTC energy contracts and the integration of two acquired companies. These objectives were achieved despite an economic environment that remained weak throughout the year. Our ability to sustain growth and capitalize on new opportunity regardless of the business cycle is the result of our diversification and consistent innovation. Our GAAP results for the fourth quarter and full-year, which are reflected in this presentation, include a number of non-recurring items, which are detailed in the appendix of the presentation. This morning we will focus our comments on the adjusted figures, as we believe they provide a more accurate view of our business performance. If you turn to slide four, I will begin with the fourth quarter 2009 results. We achieved record consolidated revenues of $257 million, up 24% over 4Q08. Consolidated adjusted net income attributable to ICE grew 39% to $84 million compared to $60 million adjusted net income in the prior fourth quarter. Our tax rate for the quarter and the year was 36%, which was at the high end of our guidance. This is primarily related to changes in state tax laws and the mix of our business across the state. We expect our tax rate in 2010 to once again be in the 34% to 36% range. Adjusted diluted EPS rose 37% to $1.12, and our adjusted EBITDA increased 32% versus the fourth quarter of 2008. Let us move now to slide five. Starting on the left-hand side of the chart, transaction and clearing revenues rose 29% to $229 million during the quarter. This includes $102 million from our futures segment, $87 million from OTC energy, and $39 million from OTC credit. Market data and other revenues totaled $27 million. Shifting to the right side of the slide, we detailed fourth-quarter consolidated operating expenses, on a GAAP and adjusted basis. Our 4Q expense includes a number of items, which are not reflective of our normal operating expenses. These items include additional severance expenses associated with our recent acquisition and additional compensation of SG&A expense from true ups related to adjustments of withholding and (inaudible) taxes. On an adjusted basis, fourth quarter operating expenses increased 12% year-to-year, driven primarily by investments in our CDS clearing initiatives and a $5 million true up of our full year bonus accrual as a result of a very strong end to a very strong year. While this true up is for the full year and thus not reflective of our quarterly run rate compensation expense, we have not excluded it from our adjusted expense, because it is consistent with our pay for performance culture. Adjusted operating margin, which you can see on the lower right side of the slide improved to 52% compared to 47% in the prior fourth quarter. The adjusted operating margin excluding our CDS brokerage business was 62%. Despite some of the noise in our operating expense, we delivered strong profit and cash growth in the fourth quarter and are well positioned to continue to profitably expand our business, launch meaningful new products that leverage our clearing and execution infrastructure and enter new markets. Moving to slide six, I will cover our energy futures business. During the fourth quarter, ICE Futures Europe achieved transaction revenues of $68 million, up 28% year-to-year with average daily volume or ADV of 689,000 contracts. Notably, our benchmark Brent Crude and Gas Oil futures revenues reached record levels during the quarter. Open interest for ICE Futures Europe grew 24% during 2009, reflecting the strong presence of global commercial customers in our market, and our attractive product suite. As reported last week, volumes in our energy futures market remained strong with January ADV up 21% over January 2009, including Brent ADV up 20%, and gas oil up 36%. Importantly growth rates have accelerated further in the first part of February. Turning to slide seven, you will see the fourth quarter performance of our agriculture and financial futures exchange. ADV was 360,000 contracts per day, which was up about 1% from last 4Q. Our ag complex, and sugar in particular, was generally strong and recovered throughout the year following the challenges of a difficult credit market. However, the Russell Index volume like the rest of the equity product market were soft. Nonetheless, we continue to increase our Russell 2000 market share relative to the S&P 500 futures, and believe we are well positioned to benefit when markets recover. Earlier this month, we reported that January 2010 average daily volume for ICE Futures US increased 30%, and growth has continued to accelerate in the first part of February. Our OTC segment performance is detailed on slide eight. Total OTC transaction revenues rose 37% in the fourth quarter with average daily commissions or ADC per energy reaching a record $1.3 million, up 53% from 4Q08. This was also the third consecutive quarter of record revenues in our OTC oil and power market, and we had the best quarter for our natural gas business is 3Q08. Our strong results were also driven by the more than 200 new products that we began clearing in 2009. These new products contributed over $3.5 million in net revenue, or roughly $0.03 of earnings per share in the fourth quarter. For all of 2009, these new OTC products added over $7 million in revenue, and this is despite being very early in our product life cycle. In total, a record 97% of our 4Q volume was cleared. Our OTC energy business continued to perform well in January with average daily commissions exceeding $1.4 million, and February results thus far are very encouraging. Turning to our credit businesses, revenues totaled $39 million during the fourth quarter. This includes $29 million from Creditex and $10 million from CDS clearing. Creditex’s electronic transaction services accounted for 39% of our fourth quarter Creditex revenues. The traditional brokerage business for credit derivatives is showing some early signs of improvement, and our electronic product offerings continue to provide attractive margins. On the CDS clearing side, we generated $10 million of revenue during the fourth quarter and full year revenues of $31 million, which was slightly above the high end of our prior guidance. Despite heavy investments typical of any start-up business, CDS clearing was cash flow positive during its first nine months of operation. While our credit derivative strategy is at an early stage, we believe it is an important platform for future growth that will offer healthy returns when credit markets normalize. Turning now to slide nine, you will see the summary financials for our full year performance. Consolidated revenues were $995 million, up 22% versus 2008. Adjusted net income, attributable to ICE rose to a record $334 million. Adjusted EBITDA grew 14% and operating cash flow increased 30% over 2008. In another year of economic turmoil, we continue to invest and expand our business, and we emerged with more earnings, more cash and more revenue producing assets. On slide ten, you will find a snapshot of our guidance for 2010. I want review it now in detail, but I will note one item. For CDS clearing, we have provided preliminary 2010 revenue guidance of $60 million to $80 million. This is based upon assumptions relating to product roll outs, regulatory approvals, additional customers, founding member pricing structures and a gradual improvement in the CDS market. The year-to-year revenue growth implicit in this guidance will be supported by lower expenses as start-up investments subside. Thus we expect net margins on this revenue guidance to be between 16% and 20%, after accounting for the 50% profit-sharing with the selling shareholders in the clearing cost. Before handing the call over to Jeff, I would like to highlight the consistent track record of growth and strong financial returns we have established starting on slide 11. This morning I’ve covered the growth in our core business and the successful delivery of many strategic initiatives. All of this enabled us to grow revenues 22% in 2009, which contribute to our nearly 60% compound annual growth rate since 2005. Importantly of the $840 million of revenue growth from 2005 to 2009, more than half of that growth has been organic. However, the key question is whether this top line growth and the associated investment required generate value for our shareholders. Let us turn to slide 12 to answer that question. The metrics on this slide demonstrate the consistently strong financial returns our business model has produced. We have a strong core business, which provides solid growth and profitability. We take a very balanced and disciplined approach to capital deployment and acquisition. We act quickly to identify and consistently deliver on synergies, and finally we have an innovative customer oriented culture with rewards tied directly to the company’s results and aligned with our shareholders’ interests. This means that we come to work everyday focused on growing our top line, improving margins and carefully managing every line of expense. However, we recognize that investors don’t directly benefit from revenue or margins alone. They benefit from profit, cash and high returns on invested capital. These are the true measures of value creation. And as this chart demonstrates, we have consistently delivered strong value and returns to our shareholders. We have grown adjusted EBITDA and operating cash by nearly 80% a year since 2005, including strong growth once again in 2009. As a result, we are generating industry leading returns on invested capital or ROIC. ROIC matters because it considers the capital deployed for acquisitions, Capex and operating expenses, and dispassionately asks whether management is making optimal decisions to deploy capital in an efficient manner, and importantly generating returns in excess of our cost of capital. We believe the answer to those questions is reflected on the lower left hand portion of this chart, it is an equivocal yes for ICE and our shareholders. Even as we have heavily invested in future growth over the last two years, and regardless of the economic environment, the nearly 16% returns we delivered in 2009 and the strong returns in ‘07 and ‘08 are well above our cost of capital and clearly distinguish ICE from our peers, and demonstrate the positive economic value we are creating for shareholders. With that, I will ask that you please refer to this morning's earnings press release for further details on our quarterly performance, as well as more detailed guidance for 2010. I would like to note that we filed our 10-K this morning, and I will be happy to address any questions during the Q&A. Jeff over to you.
Jeffrey Sprecher: Thank you Scott, and good morning. While ICE’s strong financial performance speaks for itself, I want to update you on our strategy to continue to build the business. I also want to mention on behalf of the global management team here at ICE, that we are never satisfied regardless of our industry leading results. Given the strong foundation we have built, there are many avenues for our continued growth over the next several years. And as entrepreneurs, we will continue to create opportunities. ICE’s core business comprises of execution, clearing, data and trade services across the futures and over-the-counter markets. Since the beginning of the decade, and particularly over the last two years, we have expanded our reach into the over-the-counter market by introducing successful new contracts and by building world-class clearing houses. In our broader business, we have expanded the number of customers and segments that we serve, and we have taken advantage of change in technology to develop new approaches to our century old business. While regulation of our industry will continue to evolve, we’ve demonstrated that our market continued to grow amid change. Regulatory and legislative proposals are not factors that we believe will hinder or change the opportunity set before our global franchise. The factors that have driven our growth historically are much larger than these and they are secular in nature. Any changes that have occurred have more often than not present opportunities rather than risk. And today we operate a business that is likely to benefit from regulatory change, including clearing houses, electronic trade execution and processing platforms. Despite the economic and regulatory uncertainty that has existed in one form or another for several years, we have a demonstrated track record of developing solutions to support such evolution. And our revenues, our earnings, our volumes and our open interest all stand at record levels. In other words, we are well positioned to take advantage of the opportunities that come along with change. Our results continue to reinforce the fact that ICE can deliver solutions that are responsive to a dynamic environment and accretive to our shareholders. I will take a few minutes to provide some context for the foundation of our growth. Our core business is rooted in the physical commodity market, which continued to significantly outperform within the exchange sector. These markets have provided steady and healthy earnings growth and cash flow, as well as access to new business opportunities for us. As Scott has just detailed, our core business has been a consistent performer despite the difficult economic climate. You will see beginning on slide 13 that strategic diversification across our business is an important driver of our opportunity set. First, we acquired new businesses that have diversified and expanded our reach into new markets. You can see on the slide the healthy diversification that we have achieved among products, market participants and geographies. Since the start of 2007, we have added five new clearing houses and three new asset classes. These classes include agricultural futures, financial futures, and credit derivatives. And today they account about a third of our revenue. Each represents a significant addressable market in which we have just begun to tap the potential. These moves required adopting a strategic vision about what it would take to produce revenue growth down the road, rather than just relying on cost-cutting as a strategy. In terms of customers, we are one of the most commercially oriented exchange operators based on our customer mix. ICE’s markets have been generally defined and developed out of commercial hedging needs, particularly in the over-the-counter markets. In 2009, over 50% of our over-the-counter energy revenues came from commercial end users. And this percentage has been rising through the years as we have diversified our product offering. You can also see that we have established attractive geographic diversification with 40% of our revenues now coming from outside the United States. The broad distribution of our electronic markets for commodities has served us well amid the economic downturn. As countries outside of the West continue to grow, the reliance on commodity markets and the use of hedging is also growing. We are also seeing growth across Europe, and in natural resource-based economies. I have spoken many times about the growth potential that commodities hold and this continues to bear out in our results. We have effectively tapped new geographies and developed new products simply by leveraging our core commodity business. Great examples of our global product platform are ICE’s Brent Crude and Gas Oil futures markets. Both of these products just turned in their 12th consecutive annual record volume years, and gas oil set yet another daily volume record just yesterday. Brent continues to be a dominant global oil benchmark due to its role in pricing of majority of physical crude markets around the world. And gas oil has become a dominant refined oil product benchmark due to its role in setting refined product prices outside the US. These are just two examples of products that we use to provide entrees into new geographies at very low incremental costs to ICE. The next area that I would like to touch on is our measurable results in developing new products. Many of you are aware of the success that we have had with the ICE West Texas Intermediate crude oil contract, which we launched in 2006 and last year which contributed $49 million to our consolidated revenues. But there are many more recent new product success stories at ICE. In 2009, we had success with the launch of our coal futures market, and we continue to set records with this suite of coal products into the New Year. Coal is another globally relevant product, and we are forging new trading relationships in Asia, Europe and the United States. In addition, we had just cleared our first iron ore contract last week. And according to many estimates, iron ore is one of the largest commodities purchased by China. Our futures contracts such as iron, iron ore and coal are designed as hedging tools for both buyers and sellers of physical commodities, as well as for firms with exposure to industrialization in these emerging economies. In the energy markets, we brought new products to market quickly and effectively. As we discussed on our fourth quarter earnings call last year, we had a pipeline of new over-the-counter energy products to roll through ICE Clear Europe in 2009. And we did so successfully with over 200 new contracts introduced resulting in market share and volume gain. The $7 million from these products, as Scott mentioned earlier, is on top of the incremental revenues related to cross selling and basis trading with our existing core product. As a result of these efforts to grow our markets, last year we achieved our sixth consecutive record for average daily commission in the over-the-counter market. You can see we have had tangible results from new products, which have helped to establish ICE futures and over-the-counter energy marketplaces as perhaps the most comprehensive available. Now you will turn to slide 14, I will touch on another milestone that we achieved in 2009, which was our move into clearing financials over-the-counter markets. Based on our depth of understanding of over-the-counter markets, we were able to respond effectively to the call by regulators for credit default swap clearing. Today we operate the leading global credit default swap clearing solution, serving both the buy side and the sell side. This was and continues to be an important accomplishment, not only for ICE but for market participants and regulators. Many of you have followed our progress as we have assisted with the restructuring of the CDS markets over the past few years. On the slide here, you will see the quantitative and qualitative results of our leadership. It requires substantial effort by the team here at ICE working non-stop over the last 18 months to successfully deliver this initiative. For those new to ICE, let me just recap briefly. In June 2008, seeing the need for clearing in the credit market, just as we did years earlier in the energy market, we announced our acquisition of Creditex, a leading provider of CDS trade execution and trade processing. We moved very quickly to close that transaction in August of that year and we incorporated a team with tremendous credit knowledge. The collapse of Lehman Brothers occurred between the closing of the Creditex transaction in August and the successful launch of our new European clearing house in November of 2008. And amid all of this, we announced that we were going to acquire the Clearing Corporation, furthering our clearing objectives. Finally in March 2009, we closed on that transaction and launched what is now the leading clearing house for credit default swaps in the United States. And in July, we launched what is now Europe's leading credit default swap clearing house. ICE Trust and ICE Clear Europe has served as a model for addressing the complexities of over-the-counter market serving the buy side and the sell side and working across regulatory jurisdictions. Today ICE has cleared over $5.5 trillion in credit default swaps in the aggregate. And as of year-end, the cash in ICE’s CDS guaranteed funds, supporting the over-the-counter credit default swap markets exclusively exceeded 3 billion dollars, which we believe is one of the largest cash guaranteed funds for any single product. In addition to providing the only dedicated default fund for credit default swaps, we put in place the most stringent risk standards of any competing model, a model that delivers capital efficiency without changing the workflow of our market participants. In other words, we have effectively removed financial and systemic risk without introducing operational risk. This year we plan to deliver operational and product additions for credit default swap clearing, and we are working closely with customers to ensure that our solution remains the most comprehensive in supporting the recovery and the growth of over-the-counter markets. Let me conclude on slide 15 with a quick recap of some of the defining features of ICE’s model that we believe will allow us to continue to outperform our peers. First, ICE’s business is primarily driven by commercial participation. As a result, we grew and withstood the test of reduced liquidity during economic uncertainty. Secondly, our business is well diversified and global, providing access to opportunities that arise across markets and across geographies. And thirdly, we’ve demonstrated our flexibility to respond to the needs across both futures markets and over-the-counter markets. These strengths have produced consistently strong operational and financial performance. We grew our top and bottom line, while investing in future growth. In fact ICE’s net income for 2009 was 31% higher than 2007 when the financial crisis began. Importantly, our early results this year demonstrate continued health in our business with current quarter to date futures and over-the-counter average daily commission up over 30% year-over-year. Open interest and volumes in many of our major benchmark contracts are at their all-time high. In closing, you can see that ICE is working to affect positive evolution in markets, responding to the risk management needs of our growing customer base and exploiting the opportunities that exist amid a sea of continued change. On behalf of everyone here at ICE, I want to thank our customers again for trusting us with their business in 2009 during a period of great uncertainty. And I want to thank all of my colleagues here on the ICE team for their hard work in exceeding our objectives last year. Let me now turn over to the operator, and operator could you please moderate our question-and-answer session.
Operator: Thank you. (Operator instructions) And our first question we will hear from Roger Freeman with Barclays Capital.
Roger Freeman - Barclays Capital: Hi, good morning. I guess maybe first just on CDS, Jeff, what are your thoughts about the uptake on the single name side. You know it started out very weak and it is picked up a bit, but we are hearing in general there seems to be limited customer interest actually in doing this, and I guess the question is, is it going to have to be mandated, and maybe also what is in your guidance, what are the assumptions in that guidance for this year, on the 60 million to 80 million?
Jeffrey Sprecher: Well, last week I think we did about 10,000 trades, which was one of our biggest clearing weeks ever. So, I would say that broadly speaking there is tremendous uptake and has the clear single names, there is a lot of demand for single names and in fact tension in the market as to which names we should roll out first. As you can imagine right now there is a big push to try to deal with the single names related to the sovereign debt, particularly in Europe, with a lot of risk attached to that. So, there is debate as these products get rolled out, but nonetheless what we are seeing is tremendous use once we roll them out. I think implicit in your question is, the buy side or people who are non-bank market participants are not under regulatory pressure to use clearing, and my sense is that some will and some won't and there will be an evolution. I think it looks a lot to us like the energy business, when we started in 2002. Clearing was very disliked by most market participants, and we just made a comment in our prepared remarks, we now have 97% of the business that goes across our trading platform goes to clearing. So in, let us call a period of seven years or so there has been a dramatic change. And I would think it would be shortened in the credit markets given regulatory pressure, but nonetheless it will be a multi-year process.
Scott Hill: To put a couple of numbers around that. As Jeff mentioned, we had a good week last week in single names on an inception to date basis, give or take a little bit 120 billion of notional cleared, half of that came in last week. So there is clearly an uptake on the single names, and we would expect that to continue. As you know, we didn't roll out every single name first at launch. We are continuing every couple of weeks to roll out more single names. So as we worked through that roll-out, we will see the notional grow and revenue will go along with that, and just directly to your question, embedded in the $60 million to $80 million is the roll out schedule we’ve got through single names and it will occur predominately through the first quarter, some into the early part of the second quarter, and an expectation that we will see good uptake just as we did with indices. In addition to that, we are getting some good early signs from the market, both on the clearing side and on our brokerage business. In January, we did see the trading activity around indices and single names pick up, which is further good indication for us as we look through the rest of the year.
Roger Freeman - Barclays Capital:
 :
Jeffrey Sprecher: Sure. I mean I think there is no one answer on the buy side economics. People that have a very balanced portfolio, I think will find it as they move it into the clearing house. They will likely have lower net margin, net capital outstanding. People that take directional risk will find that it is very expensive to clear, and every prime broker has different rates and structures and are looking at their customer position slightly differently. So there is no one good answer. That is I say Roger, I think it will be an evolutionary not a revolutionary process. The second part of your question on sovereigns, sovereigns present a unique risk and it is one that we are debating with the market and with regulators. For example, if you have an Italian Bank that is riding protection against the default of the Italian government, what is that risk. And is it possible for an Italian Bank to survive the collapse of its own government. Those are the kinds of things that come into clearing sovereigns that the market has never really seen it rest in a holistic way before, and we are being asked to get the centre of that discussion. There is obviously tremendous demand, and I suspect once we move through the distress in sovereign trading, there will be some other sector that will come to the forefront and will present unique challenges. So we're kind of chasing those around.
Roger Freeman - Barclays Capital: Interesting stuff. Thanks.
Jeffrey Sprecher: Thank you.
Operator: Next we will move to Ken Worthington with JP Morgan.
Ken Worthington - JP Morgan: Hi, good morning. Jeff, may be to follow up on your comments on the geographic diversity in Asia. When you think about growth for Asia over the next five years, I guess how important is Asia to the growth story, and then if you can give us any metrics on Asia like what portion of your energy business comes from Asia today versus maybe a year ago or growth of trading screens in Asia, anything we can use to kind of wrap our fingers around the concept?
Jeffrey Sprecher: Sure. I think -- let me say we kind of use Asia as an acronym for the concept of emerging market growth. What we are seeing is that as emerging markets grow, even markets like China where we have no direct access, people that are doing business there are having to use more commodities and as they use more commodities, they are taking up the concept of hedging around them. So broadly speaking, we have done well because there is growth outside of the West and there is a risk outside of the West and people are hedging against that growth. And as you know more than anyone can, even in economies where there has been economic shrinking people still hedge, because they are really trying to figure out their risk profile, and in many cases we don't care whether prices are moving up or down. It is hard to put a specific number on it, but you can see the trends in our non-US business which is -- and you can also our Brent crude oil, which is a mark up for Europe and Asia is outperforming the volume growth of our West Texas Intermediate contract, which has levered the United States economy, and so you can just see the trend pulling us to the east.
Ken Worthington - JP Morgan: Okay, any idea on screens [ph], it seems like that might be a metric you might be able to share?
Jeffrey Sprecher: Don't necessarily look at it that way. We do monitor in trying to budget for the company internally, the growth of user IDs and passwords and demand for data, all of which continues very robustly through the whole economic downturn.
Scott Hill:
 : So we don't break the screens down on countries. I will tell you from a country revenue standpoint, we saw Singapore in 2009 as an example grow in the relative percentage of the business we get, but in terms of looking at more deeply, we don't really split it up that way.
Ken Worthington - JP Morgan: Okay, great. Thank you very much.
Scott Hill: Thank you.
Operator: Next we will move to Mike Vinciquerra with BMO Capital Markets.
Mike Vinciquerra - BMO Capital Markets: Scott, I just want to clarify on the -- I don’t want to focus on CDS too much here, but the revenue guidance 60 million to 80 million, I wanted to make sure I understand when you talking about the 16% to 20% profit after the sharing, are you talking about, is it on an after-tax basis to ICE pre-tax, how are we looking at that. I make I understand the page?
Scott Hill: Net income. It is net income.
Mike Vinciquerra - BMO Capital Markets: Got it. Very good. Okay, and then as far as CDS, the contract turnover once the products are in the clearing house, are you guys getting a sense now after 10 months what the real turnover is going to be? Are these products strictly for hedging and therefore don’t turnover much and it is more new generation of contracts that is going to drive growth in the business or anything you can share there would be helpful?
Scott Hill: It is still really early on the single name side. There is not great visibility. On the index side what we have seen as the notional comes in, it compresses down by 90ish percent. If you watch over time it compresses down another 3%, 5%, to 7%. So we're getting some view that the compressed volume does over a 3 to 6-month period trade in and out. But in terms of having a great metric on turnover it is not something we have been able to establish yet. We still got a mix of back loading and new trades coming in. So as we get better insight, if we get a metric I think it would be useful we will clearly share with you. But as of yet, the turnover metric is not apparent.
Mike Vinciquerra - BMO Capital Markets: I understand. Okay, and then just one regulatory question, the issue around exchange for future is clearly it's not paying but you guys at this point, but the market, it's clear, is worried about this as a potential opening up the clearing house to pseudo-fungibility. Can you guys just comment on that and whether or not this seems to be any threat to you over the near to mid-term?
Jeffrey Sprecher: Sure. Well, first of all we believe this is an issue that is unique to the US interest-rate business, and that's a business that we're not in. And the reason I say that is because long ago our principal competitor, Nymex adopted EFS for look-alike products to us. So this issue was dealt with in energy years ago, and I would say that that product is probably completely unsuccessful and irrelevant in energy, and that's because the market has developed an active position management marketplace that exists between primarily ICE and CME Nymex, where positions are moved back and forth as needed. We have no barriers that we put up to allow those positions to move, and I think you can see that there has been tremendous growth in both energy businesses over the last, you know, number of years while that market has become active. I would say just editorially, I think the reason that this is getting a lot of attention is the fact that there seems to be no demand for moving positions back and forth between those two exchanges, and in other words regulators would not have to be involved in this discussion at all if there was demand. These markets will form up and brokers and market makers would be happy to make two-way markets to move positions as they do routinely now in energy. So we agree that with the CFTC that it was improper for the CME to adopt the rule that basically says that any trade drawn on a competitor is a washed trade, but we also agree with CME that it has an obligation to manage its markets and to make sure that trade that accepts for clearing and puts across its ticker, our price discovery contracts and so you know, I believe this debate will be settled in the middle if you will. And the last thing I would say is that you know, part of the good debate is coming out around financial reform. I think people are understanding that interconnecting clearing houses that are full of trades is no different than interconnecting a series of banks that are full of trades, and that was a bad idea two years ago in the banking sector, and it potentially could lead to the same consequence in the exchange sector if we interconnected all this. So I think there is much more caution on the part of the market to make sure that trades are properly accounted for that they've been entered into and in a price discovery manner and that they've been made transparent and that the risk is contained in places that regulators can get their hands on them in the time of crisis.
Mike Vinciquerra - BMO Capital Markets: Very helpful. Thanks Jeff.
Jeffrey Sprecher: Thank you.
Operator:
 :
Scott Hill: Good morning.
Celeste Brown - Morgan Stanley: Good morning guys. Couple of questions for you. Let's think about the dynamics in your, you know, in both your futures and the OTC energy business. The volumes were quite strong in January and you're rolling RPC also increased. Is there something you know, going in the beginning of the year or should we continue to expect to see volume growth and RPC growth which was I would expect unusual in this environment?
Jeffrey Sprecher: I think one other things it's going on is that we've introduced a lot of new products as we talked about, and as we introduce those products there is take up and you're seeing both volume growth and RPC growth, particularly for -- as we get into some of the niche products that are more complicated and risky and for which, we can charge a premium to manage that risk versus the alternatives. We don't give forward guidance. I don't…
Scott Hill: Yes, with regards to the -- contract I mean, I mean just like I would caution you when it moves down $0.03 not to draw a line through that, I wouldn't draw a line through up $0.03 either. We in any given month or quarter have mixed issues with regard to how many market makers we have and you know, what volume or commercial participants come in. So the volume growth is strong. I wouldn't have any expectation that our rate for contract up or down, we'll move that significantly from the trends you've seen recently.
Celeste Brown - Morgan Stanley: Okay, great. And then you gave us some guidance on the cost. I know you exquisitely didn't give guidance on comp expense or anything like that, but can we think about a normalized payout ratio. So we can you know, build those -- build comp into our models and then focus more on the revenues through the rest of the year?
Jeffrey Sprecher: Yes, let me touch on that a little bit. You know, I think one of the things we've got inside our comp expense as you know, is we've got our broker business, and so frankly I hope to see comp build with that because that means our revenue is growing in that business but you know, based on the assumptions we've got right now for growth in that business in 2010. I think on a normalized basis you should expect comp expense to kind of be in the $57 million to $60 million range a quarter. That obviously assumes that we've got on target performance relative to our bonuses. And you know, that's an issue I touched on as well. You know, within those bonuses to the extent we do outperform, which is what all of us come to work everyday trying to do any upside that we have relative to our board established objectives, which as is typical of every year prior to this require double-digit top line and bottom-line growth. You know, 85% of every dollar of upside dropped straight to the bottom line and the expense we do incur for additional outperformance that goes to employees largely reflects restricted stock units that are given to employee, which have retention value because they continued to divest and in addition to that aligning employees’ interests with shareholders because as the stock goes up, they benefit from that as well. So I think on a normalized basis you'd be looking at somewhere in the $57 million to $60 million range a quarter, and again our hope is that that goes up because performance is better than the targeted budget right now, and I think overall just to kind of put a head on it, expense overall for the year, I would expect to be down a little bit on a GAAP basis, and even adjusted for the one-time items that we detailed, I wouldn't expect this to have more than 3% to 5% growth on a year-over-year basis, and again as I mentioned that's going to support double-digit top line growth and margin expansion.
Celeste Brown - Morgan Stanley: Great. That's really helpful.
Operator: And next we'll move to Michael Carrier with Deutsche Bank.
Michael Carrier - Deutsche Bank: Thanks guys. Hi Scott, just one more thing on expenses, just given the adjustment on the taxes, I think it was around $5 million it looks like on the adjusted pro forma, you know, was that all in SG&A, and I guess just with a normalized SG&A number.
Scott Hill: No, it was roughly $3 million in SG&A and about $2.5 million in comp. And so I think we had the normalized SG&A on chart 5 of the presentation for the quarter is around $22 million. And I think if you look back our quarters have typically been in the $22 million to $23 million range.
Michael Carrier - Deutsche Bank: Okay, thanks. And then just on the increase in the buyback plan up to $300 million and just given that your cash is now, you know, approaching $600 million, just any timing you know, on that, you know, on the CDS guidance is $60 million to $80 million, you know, also on that. Like any initiatives throughout the year where you think that you know, a certain quarter should be more weighted in terms of when those revenues are realized or you know, just pretty even across the quarters?
Scott Hill: Well, I think on a $60 million to $80 million, you'll see that as a bill through the year. I wouldn't take the midpoint and divide by four because we're still rolling out single name products. We're still building out the buy side business. So that's not something I would take a midpoint and divide before four. I think you'll see a build over the quarters. As I mentioned, the fourth quarter revenues were in the $10 million range. You think of that as a starting point and then building quarter-by-quarter as we roll out more products and bring on more customers.
Jeffrey Sprecher: Let me comment on the cash, we have the great fortune of being sitting on around $500 million of cash with relatively low debt, and because of our strong cash flow and a very strong banking group that we have surrounding us, opportunities we believe increasingly to get access to credit should we need it. So we're sitting here being cautious, opportunistic, and those opportunities may come in buying back our own shares, and as you -- that used to follow our stock know that sometimes you know, things that happen in regulation or rumors that circulate tend to move our stock dramatically, and we want to be opportunistic if that's the best return on shareholder capital that we can deploy that capital and as well, you know, we look at M&A opportunities and basically buy versus build on the initiatives that we have in front of us. So we're in a very strong position, and we recognize that we are in that position and we're not going to use something without a lot of calculated measure.
Michael Carrier - Deutsche Bank: Okay, thanks guys.
Operator: And we'll move on to Jonathan Casteleyn with Susquehanna.
Jonathan Casteleyn – Susquehanna: Yes, thanks. Good morning. I'm just wondering if you can comment on if you're seeing any sort of abnormal seasonality in your OTC business or would you expect the activity that's sort of at new stepped up trends to continue throughout the year or if you're seeing any abnormal seasonality in the fourth quarter?
Scott Hill: Yes, I mean Jonathan I am always reluctant to predict what may happen in the future, but I would tell you that some of the trends that are helping to drive that growth, you know, clearly are tailwinds with us. I mean the continued growth in our oil business. Our oil business in OTC in the fourth quarter was literally 6 times larger than it was in the fourth quarter a year ago. Our power business was double, and so as we rolled out new products, as more people want to move to a cleared solution, you know, those trends will help to continue to support our growth. As I mentioned in my prepared remarks, our natural gas business had its best quarter since third quarter of 2008. Again we've seen the price does move up in natural gas over the past quarter or so, and the volatility around larger prices tends to drive larger volume. So I think some of the trends that have supported the growth recently clearly remain in place, you know, the extent to which those will last is not something that we predict.
Jonathan Casteleyn – Susquehanna: Right, okay. And then as far as your, you know, the gradual improvement in CDS markets, are they built into your clearing forecast. You know, what assumption is behind that as far as legislative proceedings, i.e., as the house bill stands now, you know, is passage of that. It's not something you view as positive and then just being that you said in a fairly important position, do you see something from a legislative standpoint up forthcoming and specifically around CDS.
Jeffrey Sprecher: You know, this is Jeff, Jonathan. I, you know, a lot of the other exchange has, I've listened to their calls and they seem to know where Congress is moving in and where people in the EU are moving much better than we do. We have no idea what's going to come out of any legislative reform. We are active on the Hill, and we are involved in the process and we are active in Brussels and involved in that process, but literally have no idea when or if or what will happen legislatively. All we do know though is the obvious, which is the trend is to try to force contracts on to exchanges for transparency, try to force them into clearing house for risk management, try to get data sold [ph] so that people can see business in more near real-time. And so I guess in analogy and maybe an attribute to Captain Phil from ‘Deadliest Catch,’ the best thing that we can do is put our boat where we think the fish are going to be and throw the nets out, and that's what we're doing. I think that trend is something we've been doing for years now and that trend is going to continue. It may or may not accelerate but nonetheless I feel very good about where we positioned our boat.
Scott Hill: And just one metric Jonathan for what it's worth, is we are seeing the bank higher on CDS debt. We did see January which was the best month of our brokerage business in the past 13 months. So you know, the market tends to you know, react in advance of legislation and right now they are building their debts and they are building their trading volume.
Jonathan Casteleyn – Susquehanna: Great. Thanks for that insight.
Operator: And we'll move on to Rich Repetto with Sandler O'Neill.
Rich Repetto - Sandler O'Neill: Yes, hi guys. Jeff, first I am checking about your comment that you said the CME said all trades done at a competitor were wash trades?
Jeffrey Sprecher: You know, you'll probably get angry about that but you know, I think that's is effective what the rule did, and I think that you shouldn’t read anymore into what the CFTC said other than, you know, that doesn't seem like a reasonable rule, but in fairness to CME, and I want to be very fair to them. They are right and that they have a obligation to make sure the markets that they run are real trades that are part of the price discovery process, and they’ve said that they intend to do that and that is what I think the law that they should do as well as ICE.
Rich Repetto - Sandler O'Neill: Jeff, the -- no, my question is that was just a comment. My question is you know, you purchased, you know, you acquired NYBOT in '07, Creditex in '08, and you launched CDS last year. You know, what can investors expect? Is there something in the works, you know, this year or that the year, will you continue just to focus on the rolling out of the new products and scaling, you know, some of the things, the initiatives you've taken on the last couple of years?
Jeffrey Sprecher: I guess without showing the man behind the curtain…
Rich Repetto - Sandler O'Neill: That's what we're trying to find.
Jeffrey Sprecher: Yes, the great position that we're in as managers right now is that we do have a very strong operating business, and we're smart enough to not trust the control panel to screw that up. So we really enjoy tremendous tailwinds as we're moving forward. I mean our growth that we're seeing in the fourth quarter, for example, is above an already increased year as opposed to many of our peers, which are back to their 2006-2007 volume ranges, and growing to basically recover back. We never went down. So we're in a tremendous position, and that means that you know, I think our shareholders can hopefully along with all of us as managers for shareholders enjoy continued growth in the business. We sit on this ability to do transactions, and I suppose partly why we have outperformed in terms of return on invested capital is that when we make an acquisition it's really against strategic initiative that's going to drive in our mind top line growth as opposed to you know, mergers that involve cost-cutting, which others have done and they've done very, very well, but it's just never really been our competency or our desire.
Scott Hill: And the other thing we've done, Rich over the past couple of years is we built the business in a financial model to position us very well to move in any number of directions as we get to this year with presence in Europe and in the US, you know, multiple clearing houses leverage that around half a times our trailing 12 month EBITDA, and net debt is actually plus 250 because of the $550 million we've got in cash. So as we think about the next strategic step, we built the business model and the financial model that gives us tremendous flexibility to go where we like to go.
Rich Repetto - Sandler O'Neill: Okay, and then a quick follow-up, hopefully it's quick. On the energy position limits Jeff you had time to digest. I know you talked about you know, your 51% I think you said, commercial end use, but is there -- trying to learn the impact on both because other people are more focused there on liquidity providers, but anything you see not to digest and that would be that is helpful, harmful, you know, to energy trading?
Jeffrey Sprecher: Yes, I think a couple of things have come out of it so far. First of all, it is the debate that has been going on and the really thoughtful process that the CFTC has put in place which has allowed ample time for input and thought on what should be done. It really has shed the light on the fact that there has not been a speculation problem, which is something that we and our peers have said when we look at our own data, and the focus now has changed more to find a limit concentration in markets, which is much more of a risk management focus than a price discovery focus and we agree you know, broadly that it's beneficial for exchanges, not to have customers that have highly concentrated positions. It's in our exchange collective best interest to have as broad a business as we can with the most customers that we can. So, you know, the proposal that is out there now is relatively detailed. We will be making some comments again in the details of how such a regulation would and could be implemented, and I expect that we'll be putting and filing input this month. So I don't want to again or shadow exactly what those details are, but broadly speaking we feel very good about the process and broadly speaking we feel good about the shift in the debate away from this speculation debate.
Rich Repetto - Sandler O'Neill: Okay, thanks a lot and congrats on the growth.
Operator: And we'll move on to Daniel Harris with Goldman Sachs.
Daniel Harris - Goldman Sachs: Hi, good morning guys.
Scott Hill: Good morning.
Daniel Harris - Goldman Sachs: Moving back to the ag business and away from some of the other stuff we're talking about, it's been obviously one of the more difficult areas to sort of project forward, and I think a lot of that had to do over the last two years with the changing credit dynamics from the banks. You know, as you guys sit there today, how do you view credit availability to traders and how do you think that impacts you know, people's decisions on what they're doing financially and what they're underlying?
Scott Hill: You know, you can see in our -- I think if you drove through our ag markets, which is something that we do, you can see that our sugar business, which is the most global business and is a business that is probably the most levered to emerging markets growth is doing very well, and that is ag business where there are a lot of small players, right. These are sugar mills, sugar refiners, and cane growers and what have you. It seems like that business is doing well, and outside of the West there is access to capital investment and growth. If you look then at let's say cotton, which is we have delivery in the United States in our cotton products. So it's much more levered to the US economy. You'll see that there is a tremendous amount of stress in the cotton markets in getting access to credit in recovering from past investment decisions, people in the cotton market have made. You've seen a shift away from acreage planted in cotton, which may be driven by the access to capital as much as mix. And so across our ag markets, it's a mix and as a bottom line as I think the more levered you are to the US credit markets, probably the less well you're doing.
Jeffrey Sprecher: And just to put the numbers on, I rely as we said in the presentation and ag is up 15% from where it was at the end of '08. At the end of January it was up again and, you know, sugar is a terrific grower force but our other ag contracts grew 13% in January and have continued to perform well into February. So the ’08 growth that the volume growth that we're seeing across the ag products would certainly suggest that those markets are recovering.
Daniel Harris - Goldman Sachs: Okay, thanks, and then just on the Russell you know, obviously there has to be some macro issues that affect equity trading in general, but you guys have talked in the past about the growth in value in the things that you may roll out at some point. You know, any update on those and whether that's going be a 2010 event and if so whether the, you're bringing a lot of demand from the end users for that?
Jeffrey Sprecher:
 : And we're really waiting until we see money flowing into growth funds as an investment vehicle, and right now, you know, you all know the markets much better than we do, and it's kind of a stock picker's market and trend following market and a bit bearish to begin with, so, at least at the moment. So it doesn't feel to us like we're poised to have a lot of growth and value investment right now.
Daniel Harris - Goldman Sachs: Okay guys, thanks very much.
Operator: And our final question will come from Rob Rutschow with CLSA.
Rob Rutschow - CLSA: Hi, good morning.
Scott Hill: Good morning.
Rob Rutschow - CLSA: Just another follow-up on the CDS clearing, are there any additional, you know, big firms that are out there that you haven't signed up yet that might you know, move a needle on the net income capture or any other you know, items that we should think about that might move that 16% to 20% around?
Jeffrey Sprecher: Yes, I mean they're -- I mean embedded in the 60 to 80 is an assumption that we'll continue to sign up you know, new banks that aren’t currently members. You know, we've got 13 in US and 13 in Europe. They clearly are more than that that are significant players in the market. So there is some of that growth embedded in it, and yes, there are a couple of large banks that are out there that do material business that aren't yet members with whom we're in very active dialogue.
Scott Hill: And we use the concept that banks as member or something because we have a very, very high threshold for membership right now, $5 billion network. So we suspect that our model will be clearing, you know, high net-worth clearing firms in the center of the market providing access to the smaller customers, smaller banks and smaller buy side firms as our version of futures' commission merchants, which we call DCMs in this model.
Rob Rutschow - CLSA: Okay. My second question might be a little premature but what would be the impact to you guys, and also what would be the opportunities if we actually saw dissolution of the euro or you know, significant contraction there?
Scott Hill: Well, that's a tough one.
Jeffrey Sprecher: Yes, I mean Rob that's almost an impossible question to answer if an entire currency goes down, what would the impact be to the company. Obviously, we have euro holdings in our clearing house, you know, but we think about those contingency plans, and we look at concentration levels. You know, we're…
Scott Hill: I don't even know how you began to answer that question.
Jeffrey Sprecher: I guess just from what is obvious [ph] is that we largely receive revenue in dollar denomination because oil products just happen to be denominated in dollars, and so we collect commissions in dollars and of course we pay our staff outside the US in Europe in our cost, are euro denominated. So I guess to the extent that dollar stay strong in euro, it's cheap. We probably benefit on a net basis assuming that the rest of the world hangs together.
Rob Rutschow - CLSA: Okay, thanks. (inaudible).
Jeffrey Sprecher: Yes, thank you.
Scott Hill: Was that our last call or last question. Great. Well thank you everybody. We appreciate you joining us this morning. We appreciate all the support that you gave us in 2009 and my colleagues and I will be back together with you next quarter.
Operator: And that will conclude today's call. We thank you for your participation.